Andre Simon: Warm welcome to everybody to our Q3 2024 conference call from my end as well. As always, we will begin by asking you to take notice of our Safe Harbor statements. And with me today is our CEO, Matthias Zachert, and our CFO, Oliver Stratmann. Matthias will start with a short presentation and then we will open the floor for your questions. With that, I'm happy to hand over to Matthias. Please go ahead.
Matthias Zachert: Thank you, Andre, and welcome everybody to our Q3 results call. I start immediately with the presentation on page 4, where we give an overview on the overall financial KPIs for the LANXESS Group. As you can see from the sales numbers we state, all in all flat vis-à-vis previous year numbers. Noteworthy is the 5% volume uptick that we have seen notably in the segments Additives and predominantly Intermediates. Also nice to see that nine out of 10 businesses reported growth, only one business sharply fell. I will come to that definitely later on in the call. As far as EBITDA is concerned, we had a steep improvement versus a relatively low base last year that we alluded to that 2023 was an extraordinary narrowly abnormal year. But the improvement stems from self-help measures i.e. tight cost initiatives and cost control. And secondly from a higher utilization base, which is now around about 70% versus the 60% we reported last year. As far as net financial debt is concerned, we kept relatively stable compared to last year, despite the fact that we have year-to-date an increase in the working capital of around about €150 million. On the free cash flow side, please take note of the fact that in September, we very much focused internally on preparing for the US harbor strike. I will come to a second to our US asset base and sales base. We took precautionary measures to get prepared for a strike starting beginning of October, which fortunately was not executed in October. But of course, we are waiting for further development here to come. I think the parties that are negotiating are coming and finding together but we still have to see a final agreement can be reached. So I think you can see here that we prepare for whatever we can prepare at this point in time. However, this was impacting inventories and will be reduced going forward. Let's move to page 5 to comment on the key events and achievements in third quarter 2024 as far as business is concerned. But definitely the two business segments that were hard hit in 2023 are coming back strongly versus a low comparable base. Extremely good volume momentum on the Intermediates side was seen in the third quarter that led to a visible improvement in margins compared to previous year. Also in profitability an increase of more than 100% as far as EBITDA indicator is concerned. And the same holds true for Additives however not with the same kind of profitability increase. Consumer Protection is the low lights stemming from one business solely that Saltigo. If you look at the financial results of the segments, basically these business units dropped by around about 25% year -- sorry €25 million year-on-year. That shows you that Agro in the second half for us is still harshly hit. The rebound that we assumed beginning of the year for the Agro segment is definitely not there. As a matter of fact, the Agro industry rather softened compared to the first half. And therefore, we take note of the fact that some of our customers are reporting slight positive trading visibility but it will surely take one to potentially two quarters to see this ending up in a higher ordering. So if you would adjust for the Saltigo fall in profitability, you would clearly see that the other two business units are strongly performing and rebounding nicely. A lot of the profitability improvement is driven by the forward measures that have been swiftly implemented. I think we were ahead of the curve here and therefore, benefits over proportionally in 2024 vis-à-vis 2023. And this is basically visible in most of our divisions. On the portfolio transformation, I can clearly say in the last five, six years, we've executed on leaving the polymer businesses behind. The divestment of Urethane Systems was the final piece in the puzzle. We have signed the contracts. It's a very nice, very profitable growing business. We like it, and we are happy to hand it over to a professional company with a strong footprint in these kind of businesses. And, therefore, it's a good transaction for the business. It's a good transaction for UBE, but also for ourselves. And, therefore, we have taken account for the business in assets held for sale, closing expected first half 2025. Liquidity, two elements that I would like to make clear in this regard. Oliver and his team worked nicely on prolonging our revolving credit facility also with the sustainability linked elements. So this was extremely well executed, very professional with good financial terms. No setback compared to the last credit facility, and therefore congratulations to the entire finance organization. And I think we are, therefore, positioned extremely well for the next few years. Now let's come to page 6. As we conclude the major portfolio changes, you can see what we have done over the last eight years, sometimes this gives more clarity than just quarterly numbers. In 2015-2016, we started the journey on changing our portfolio leaving behind polymers and volumes and focusing on chemicals, building in each respective businesses where we bought building leadership positions. And as you can see from the regional footprint, our strategic direction was clearly enlarging the footprint in the United States. This becomes visible when you look at the geographical sales split on a somewhat like-for-like portfolio basis. In 2016, we were around about 15 percentage points sales in the United States, moving now to 28 percentage points in the United States. So this is now the biggest market for us Americas, United States. And I think it's a significant change in importance, which is also organizationally reflected through one Board member of the Management Board being located in the United States. So we changed the organization respectively. And noteworthy that by now, we do not only have roughly 30% of sales in the US markets, but also around about 30% of our production asset base, which also more than doubled over the last eight years. So I think with whatever political change will come this is definitely a positive as we consider the United States to definitely focus on developing US asset footprint going forward with respective support on growth rates, but also potentially tax schemes. Ladies and gentlemen, let me now come to page 7 and address the guidance for full year 2024. Despite macroeconomic uncertainties, which definitely intensified for the second half 2024, I think you see that being commented on by all respective peers but also by other end industry, which are our customers. Despite macroeconomic softening, we are in a position to reiterate our EBITDA guidance that we have given out beginning of this year, including of course the Urethanes business like in the past. And the basic driver behind that are our self-help measures, notably the FORWARD! Program, but also the better utilization we have compared to 2023. And, therefore, please take this into consideration. We allude to the fact that Q4 has always been a softer quarter driven by seasonality and holiday season notably in December. So this is not going to change. And with this ladies and gentlemen, we finished the presentation and we open the call for all your curious questions. Thank you.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Martin Roediger from Kepler Cheuvreux. Please go ahead.
Martin Roediger: Thank you. Good afternoon. I have two questions please. First is on consumer protection, I see that the selling price effect in Q3 was even more negative than in Q2. Normally you pass on lower raw material costs to your customers. But was there any margin pressure triggered by ceding price pressure, because your EBITDA margin was sequentially down by 70 basis points despite ongoing cost savings? And secondly, regarding your outlook for the end market construction is it possible that you face rising competition in inorganic segments and thus you are losing market share? Thank you.
Matthias Zachert: Thank you for your two questions. I will address them one by one. On Consumer Protection, I would clearly like to stress please adjust Consumer Protection profitability just by the -- around about €25 million on profitability that I've mentioned before. Assuming therefore that Saltigo would have achieved the same profitability as in 2023 you would come to a completely different statement. You would see that here margins would be moving upwards reaching levels not at 20%, but clearly moving into the direction of 20% where we would like to bring this business to. So therefore, I would clearly like to stress this is not a pricing game. This is not a margin game. This is a demand shortfall that we have faced. The entire volume decline you see in the segment Consumer Protection is coming from solely one business unit. My guidance for this segment is you will see an uptick in the margin in course of fourth quarter. This is likely despite the fourth quarter seasonality that you also see in this segment. But from everything that we see as of today, we will have a margin upswing compared to the comparable base last year. So I think this addresses everything that you wanted to understand on Consumer Protection. Now on Advanced Intermediates on Pigments clearly my feedback to you is we are gaining market share. I mean we had always a very high market share in Pigments. We were hit last year because we did not want to sell down our inventories, which had a very high balance sheet price still. So we were deliberately selling modestly our inventories last year and only modestly adjusted product prices. So here and there we were losing volumes definitely and we had a very low utilization to sweat out inventories. But now that we have done that in Inorganic Pigments, we clearly go back to our normal market share fighting back. And from the margin improvement you see in Q3 which some of you have taken note of and were surprised a lot of that is coming from Inorganic Pigments because here clearly we reuse our market position market muscle. And therefore the profitability upswing in Intermediates a key driver is also Inorganic Pigments striking back with force. I hope that clarifies the second question as well.
Martin Roediger: Thank you.
Matthias Zachert: Thank you, Martin. Next question, please.
Operator: Thank you. Your next question comes from the line of Tom Wrigglesworth from Morgan Stanley. Please go ahead.
Tom Wrigglesworth: Thanks very much for opportunity to ask couple of questions. Firstly, just on this -- on the safety stocks in net working capital. Assuming that there is no strike and things continue as normal is that something you can unwind quickly i.e. we -- can you help us understand what working capital might look like by the end of the year? Or will this take the first half to unwind? The second question that I had was around again following on from Martin's questions on AII. Kind of close to 15% margin in 3Q. Where do you see us in that margin potential range? Obviously, there's a lot of seasonality through the year. But are we now back in the kind of -- can we see margins achieve this average type of level for 2025? Just trying to gauge where we are in the recovery of AII? Thank you.
Matthias Zachert: Thank you, Tom. Well on the inventory side of course we will address that in Q4, but we will -- we will not iron that out completely but we'll keep an eye also on what is happening in North America. So we -- everything what we are hearing is the strike did not occur because parties are negotiating again and moving together which we clearly took as positive, but they need to come to a final agreement which is expected to be achieved latest by January. So we will adjust respectively but potentially not fully. So we will take a little safety cushion in order to be on the safe side. Now on Q4, we haven't narrowed the corridor for solely Q4, but in our communication I think Investor Relations has been very clear to you that we confirm the guidance that the market has which reflects by and large our communication that we've given with Q2 numbers when we finger-pointed or pinpointed the midpoint of our guidance range. So this is our communication right now. And I think this clearly narrows down automatically the corridor for the fourth quarter. And as far as 2025 is concerned I think the focus today is on Q3 and Q4. Definitely we would like to bring the business back and margin-wise back to levels that we have seen before. I personally assume that this is something that will take one to two years more and will not be achieved in course of 2025. The 2025, I think, we would still have an improvement 2025 versus 2024 if macroeconomic environment gradually improves, but we don't expect that 2025 is going to be a level returning to normal trading. I think we would see a modest development in 2025 and then potentially and hopefully more momentum 2026, but I think this is very, very early to comment on. So let's first of all get into the bank and then in next year start to comment on 2025. I think with this both questions Tom has been addressed.
Tom Wrigglesworth: Thank you very much.
Operator: Thank you. Your next question comes from the line of Andreas Heine from Stifel. Please go ahead.
Andreas Heine: Thanks. I have actually three questions. The first is on the U.S. slide you have presented it's a 28% share of sales. As far as I know you have quite big assets in Advanced Industrial Intermediates and in Pigment and probably also in Polymer Additives from the phosphorus flame retardants. In Germany exporting across the globe. If you look on the 28%, how much of that sales is coming from exports from Europe? That's the first question. And then the second, I'll try again on net working capital. You have a running down net working capital strongly last year to -- yes, to derisk with the high price inventories as you have mentioned. The net working capital outflow we have seen this year is that in part a reflection of this so that you have run that down too much, so that this year needs a higher outflow, because you have to normalize the level or is that not the right understanding? And then I would like to know on Saltigo. Well, peers selling the recipient for the crop protection business have experienced double-digit growth in the third quarter. So, seeing an improvement in this end market. Is there at that point really nothing, but you can see as an improvement as you outlined that the next two quarters you do not expect that Saltigo shows a meaningful recovery? Thanks.
Matthias Zachert : Well, thank you Andreas. Oliver will step in on the second one. I’ll address A and C, Saltigo and U.S. I think I've given clarity in the call already on our U.S. markets presence. So a top line sales. So sales by destination round about 30% being in the United States markets. Now, production wise, as I indicated, we have round about equally 30% of our global assets being located in the United States. Now, as far as your comments, I mean, this is this is remarkable because it used to be something like 10 or 15 percentage points of assets being the United States 8 to 10 years ago. So this is a remarkable increase in the local production and should further tax incentives for U.S. based companies being triggered next year, this will be definitely an advantage for ourselves with the U.S. asset base. As far as the business units you have mentioned, intermediates, advanced intermediates, industrial intermediates is present in Baytown. But the rest of the asset part in advanced industrial intermediates resides in Europe, notably North Rhine-Westphalia. And it holds also true for pigments. We have no local production in North America, United States with inorganic pigments. A strong presence exists with flame retardants, our business units PLA. So on the U.S. side, very important for you to take note of that. Our local production asset base is somewhat equal to the sales by destination. But of course, some of the assets that we have in the United States are exporting to the European market, like flame retardants on the advanced intermediate side and on inorganic pigments. Both business units do export to United States, but we have not a lot of concern on these businesses because the precursors we sell from advanced industrial intermediates to the United States have no local producer. So they depend on our support. If we go to the Pigment business, we have world-class production base in Europe, therefore, we can compete with anybody on this planet, now with normalized energy costs. And of course, if you compare to Chinese producers, China has always been heavily impacted through very high import duties, which was not the case so much for our Inorganic Pigments. So we don't see that here the current trade flows that we have are somewhat on the question mark. The opposite we think that through the current setting and potentially also through the future setting in the administration, our business model will be supported and not be questioned. Now on Saltigo, your reference on customers is correct. I think I made the reference to customer comments in May. And I gave you feedback on customer comments that all stressed that second half will turn out to be better. This was a too ambitious statement at that point in time. We now solely look at our order book and the order book was pretty bleak in third quarter. We see what our customers are saying but here we simply take a cautious approach. When volumes return with our customers, we will later see that, six months, potentially three months later in our order book. But this is explaining I think in a very clear way what we have guided for on Saltigo. And on the inventory side, I mean I would like to pass on the word to Oliver.
Oliver Stratmann: Matthias, thank you, and hi Andreas. Andreas, look, we really continue to manage working capital tightly here. And I don't see anything that looks like increased necessity to balance or unwind as you put it exaggerated reductions of last year. I would rather see the development as a normal development with slightly higher demand. And if we look forward into the fourth quarter, Matthias already mentioned that with regard to this moderate increase in inventory for the anticipated strike beginning of October, where the situation is not yet resolved, we'll not completely unwind. I nevertheless, expect an improvement in working capital, also working capital to sales towards year-end. And we've seen that pattern in the last six years actually in any of the fourth quarters. Hope, that helps.
Andreas Heine: Thanks a lot.
Matthias Zachert: Okay. And with this, let us please have the next question.
Operator: Your next question comes from the line of Andres Castanos-Mollor from Berenberg. Please go ahead.
Andres Castanos-Mollor: Hello. Good afternoon. I wanted to ask about remnant costs. It seems like a new concept to me, maybe similar to the synergies. So can you please explain if they should come on top of the €42 million EBITDA that you're disposing from the Urethanes business? And if this is the cost the disposal of the business and the synergies related to this? Our second question is on bromine prices. I saw that a competitor mentioned higher bromine prices year-on-year. Have you noticed this? And if so, can you discuss maybe pricing underperformance in lubricants or Gibraltar [ph] additives space? Thank you.
Matthias Zachert: Well, thank you for both of your questions. Oliver, will take the costs on remnants. And on bromine, let me say the following. We see that bromine pricing is improving as far as China and Asian spot pricing is concerned. So definitely this is the case. I, however, would like to stress, this is solely in Asian spot market pricing. You cannot draw conclusions out of this for Europe and North America. Generally, this is a positive. But you normally don't see instant improvements in any of the companies producing flame retardants. This is something that normally triggers through the P&L with a certain quarterly time lag. So that is the answer on bromine. And on remnant costs, which I've seen in the industry for the last 20, 30 years, we make no difference. We have a clear concept and answer to this which Oliver will explain.
Oliver Stratmann: Yes. Andres, indeed the remnant cost, when you look at the Urethanes business going out next year, we expect the closing until mid of the year. And then, indeed the EBITDA goes out and the remnant costs will remain with LANXESS. So from that perspective, they come on top. And of course we have a clear concept to work against that. We've outlined the numbers with €15 million, €10 million, and €5 million over the next years. And as in the past in those occasions we are working to compensate these burdens.
Andres Castanos-Mollor: It is very clear. Thank you.
Operator: Thank you. Your next question comes on the line of Jaideep Pandya, On Field Research. Please go ahead.
Jaideep Pandya: Yes, thanks a lot. First question is on Envalior. Could you give us a little bit of an update of the operational development there? And also in light of a slowdown in autos and increased competitive pressures in nylon. Again is there a risk that there needs to be further restructuring done which could lead to further cash outflows from the mother company on the LANXESS side? Second question I have is a little bit not asking for 2025 now, but a little bit understanding the path towards the 80% utilization. If you made a lot of progress this year and well done on that on the utilization increase. But as we progress next year will this always come at an expense of free cash flow? I.e. until we see sort of a meaningful increase in sync with regards to volume? Will we see these swings in cash flow whenever you try to increase sort of your utilization? That's my second question. And the last question really on Saltigo asking a bit of a different question. I think one of the big ag players has decided to step out of glufosinate. Is that an opportunity for LANXESS to pick up some of the business which was for earlier in-house and now could actually go towards the job work model? Thanks a lot.
Matthias Zachert: Well, thank you very much all very valid questions indeed. So, let me address that one by one. I come to your first question on Envalior. Well, I think you see in the third quarter also on the line that we are reporting in our results when you look at equity consolidated numbers that's where we report the net result of Envalior. You do see an operational improvement despite the tough market conditions that also Envalior faces. And the improvements that you see here of course is also stemming from operational improvements. And the reasons behind that and the effects behind that I think you can all look up in detail by the excessive comments the three rating agencies have provided on Envalior. So, this is a neutral organization as you know having direct management meetings and they are fully entitled to speak about the operational business. And if you read their reports they are very clear on Envalior has such a lot of opportunities on self-help that should bring the business for 2024 into a far, far better position than 2023. And they are also very clear on improvements for the years to come. So, in our financial data that we report you should see proof of that. That's feedback number one. Feedback number two on Envalior. In the rating reports, they talk about substantial savings being targeted by the operational management and they will support or they should according to the rating report support current year but also next year. So that's the feedback I can provide to you. My assumption is should Envalior -- and I'm talking conditional here, should Envalior on top of the substantial savings, that have been communicated already, find further opportunities I'm sure the management is as professional as can be to unlock further opportunities. And my last comment I would like to make on the markets I'm sure you have heard that some other competitors of Envalior are reducing capacities in the polyamide space and very important also on the precursors in 2025 onwards relating to polyamide, relating to caprolactam relating to -- assets. And that is not negative for Envalior it's the opposite. I think this gives you a good perspective on the Envalior business for this year and going forward. Now, on your next comment, I would like to rather address that from a strategic side with key ratios and now not with details on each working capital line on the balance sheet. Jaideep look, this year our working capital has increased notably because of receivables. If you take year-to-date cash flow, we've around about €100-plus million buildup in receivables because we posted more sales in the first two quarters. And we have something like €40 million €50 million uptick in inventories, which basically now in the third quarter is because of our preparation for a potential US harbor strike. So that was done with care and not of -- because of we produced in inventories. So here you clearly see that the increase in working capital 2024 is predominantly business-driven sales driven. If you go into 2025- 2026 Oliver had made the statement in the quarters before, the focus on working capital to get the ratio downward from the 22, 23 percentage points will be a theme we will pursue also in 2025-2026. If I look at the development of our company, I look at working capital rather with an improvement than with a decline without letting go of an increase in utilization rates. I mean the 70% is not industry normal utilization levels. The entire chemical industry normally reports utilization of 80%, 85%. The entire industry is still in the 70s, like us. I clearly consider that our utilization in the years to come will move up whilst working capital to sales will gradually move down. So that should be very clear the direction on working capital and cash flow. On the precursors that you have mentioned, I mean these are precursors we are normally not producing and capacities have been given up. That has been also in the seeds business where we are completely not producing for. We are in crop protection notably fungicides and some selective herbicides and insecticides. So the chemistry that has been given up is chemistry we internally are not focusing on and I hope that this also clarifies question number three. That should be it.
Jaideep Pandya: Thank you.
Operator: Thank you. Your next question comes from the line of Jeremy Kincaid from Lanschot Kempen [ph]. Please go ahead.
Unidentified Analyst: Hi. Good afternoon. I just have one question. Obviously, you talked to the strong market share gains within the Advanced Intermediates and more, specifically the Inorganic Pigments segment. I was just hoping, if we could understand that a little bit better. Obviously, you talked to the fact that you were selling product from last year and then you rolled forward now you're selling fresh products. And I just wanted to understand that dynamic. Is that what caused the increase in market share? And if so, what happens? Are you selling this product at a different price? Or is it a slightly different product? Or did something else happen entirely? And then following on from that just a couple of comments on your confidence in your ability to be able to maintain this higher level of market share would be very helpful. Thank you.
Matthias Zachert: Yeah, Jeremy. Let me stress again what I've said earlier on 2023. In 2023, we started the year with sky high inventories and with inventories that have been produced in Q3, Q4 2022, meaning at the peak of the energy crisis in Europe with gas prices that were above 300 electricity prices that were outrageously high. So we entered 2023 with a lot of inventory due to our systems issues that we faced and we talked about that in the conference calls. And we entered with not only high inventories, but inventories being all highly priced. We commented in 2023 in March April very clearly that in 2023 the focus will be on cash flow. So we sweated out massively inventories, but not through taking an extreme haircut on pricing immediately, but gradually sweating out the high-priced inventory at a reasonable right price. We delivered on that. It took us basically nine to 12 months. And that was the theme on 2023. Of course, here and there, we lost some market share. Not huge positions, but Pigments where we have the market share of 40%, 50% in different color grades. If you lose 3, 4, 5 percentage points it's not nice but you can afford it. This we are changing now in 2024. Energy prices are at competitive levels or reasonable competitive levels again. They could be better, but they are no longer toxic. And on the raw material side, we saw some drop on raw materials too. So the production base in Europe and Germany and these kind of assets Intermediates and Pigments has turned far more competitive. And that's the reason why we decided clearly to get our market back. So that's basically the rationale the arguments behind. I hope that clarifies everything.
Operator: Thank you. [Operator Instructions] Your next question comes from the line of Chetan Udeshi from JPMorgan. Please go ahead.
Chetan Udeshi: Yeah. Hi. Thanks. Two quick questions I think both probably for Oliver. Just looking at your cash flow statement changes in other assets and liabilities. There was a €55 million outflow. Can you discuss what that is associated with? And the other question, again, I appreciate all the hard work done on refinancing. I'm just curious can you help us understand what is your coupon or interest cost on some of these new credit lines that you have? I'm just trying to assess as you switch from existing bonds which have 1% coupon to credit lines over time how will that shift the coupon and interest costs for LANXESS? Thank you.
Matthias Zachert: Thank you. Yeah. Indeed Oliver will take these questions even though the second one of course has to do with if you draw if you don't draw. But Oliver will give you color on this.
Oliver Stratmann: Thank you, Matthias, Chetan. On the cash flow, the cash outflow of -- from changes in other assets and liabilities comes basically mainly from two things. One is the cash out for FORWARD! that we've also guided for. And then there was a buildup of a VAT tax claim. So those together post the majority of that. And then with regard to the interest costs, we're having Matthias already mentioned that of course depends on whether you draw or not. And for now, the interest cost of 1% that you mentioned is valid and will continue to persist, because the line -- the revolving credit facility is a facility that is completely undrawn and was completely undrawn for the most of our history.
Chetan Udeshi: But if you had to draw it in the future should we take like 4%, 5%, is that a right benchmark to use?
Matthias Zachert: No, no. I would be looking into reality, Chetan. We have a cash position of a few hundred millions. And if you have followed our conference call we will get up to €500 million cash in the first half of next year. So if you look at facts that we have communicated the likelihood that we don't draw on top, but rather repay is very likely. Isn't it?
Chetan Udeshi: Yes, for next year. Understood.
Operator: Thank you. [Operator Instructions] There are currently no further -- we've just had one question come in. One moment please. And your next question comes from the line of Chris Counihan from Jefferies.
Chris Counihan: Yeah. Thanks, gentlemen. My question for Oliver. Oliver I think you said on the second quarter call that you expected free cash flow to be positive in 2024? Just -- are you able to update us on that and reconfirm that?
Oliver Stratmann: Yeah. I can't reconfirm that, because I never said that. What I said is that, there are moving parts as you will recollect the biggest moving parts moving into the fourth quarter through the fourth quarter is for one working capital. And I already mentioned in the call that in any of the last six years, we've had an inflow from working capital in the fourth quarter. And the second part is the seasonality of our CapEx, which also comes with the highest expenditures in the fourth quarter. We will see how that balances. And it goes without saying that of course we are working hard to achieve a positive free cash flow here also this year.
Chris Counihan: Thank you.
Operator: Thank you. There are no further questions. I will give the call back to Matthias for closing remarks.
Matthias Zachert: Well, thank you very much for participating to Q3. And hopefully, we would see us on the road in the next few days. Oliver and I together with the IR team will start seeing you in the United States, but also here in Europe. Looking forward to this, we wish you all a good closing to the year and looking forward to full energy and acceleration in 2025. Thank you. Bye-bye from Cologne.